Operator: Good day, and thank you for standing by. Welcome to The Joint Q4 2021 Financial Results Conference Call. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Kirsten Chapman, LHA Investor Relations. Please go ahead.
Kirsten Chapman: Thank you, Lori. Good afternoon, everyone. This is Kirsten Chapman of LHA Investor Relations. On the call today, President and CEO, Peter Holt, will review our preliminary fourth quarter and annual 2021 performance metrics and provide an update on the business. CFO, Jake Singleton, will detail our preliminary financial results and guidance. Then Peter will close with a summary and open the call for questions. Please note, we are using a slide presentation that can be found at ir.thejoint.com/events. Today, after the close of market, The Joint issued its preliminary unaudited financial results for the quarter and year ended December 31, 2021. If you do not already have a copy of this press release, it can be found in the Investor Relations section of the company's website. These fourth quarter and full year 2021 results are preliminary unaudited and subject to adjustments. As a result of the foregoing, certain information provided herein is subject to change. As provided on Slide 2, please be advised that today's discussion includes forward-looking statements, including statements concerning our strategy, future operations, future financial position and plans and objectives of management. Throughout today's discussion, we will present some important factors relating to our business that could affect these forward-looking statements. The forward-looking statements are made based on our current predictions, expectations, estimates and assumptions and are also subject to risks and uncertainties that may cause actual results to differ materially from statements we make today. Factors that could contribute to these differences include, but are not limited to, the continuing impact of COVID-19 outbreak on the economy and our operations, including temporary clinic closures, shortened business hours and reduced patient demand; our failure to develop or acquire company-owned or managed clinics as rapidly as we intend; our failure to profitably operate company-owned or managed clinics; our inability to identify and recruit enough qualified chiropractors and other personnel to staff our clinics due in part to the nationwide labor shortage; short selling strategies and negative opinions posted to the Internet, which could drive down the market price of our common stock and result in class action suits.  Our failure to remediate the current or future material weaknesses in our internal control over financial reporting, which could negatively impact our ability to accurately report our financial results, prevent fraud, or maintain investor confidence and other risks described in our filings with SEC, including the section entitled Risk Factors in our annual report on Form 10-K for the year ended December 31, 2021, to be filed with the SEC and subsequently filed current and quarterly reports. As a result, we caution you to against placing undue reliance on these forward-looking statements and encourage you to review our filings with the SEC for the discussion of these factors and other risks that may affect our future results or the market price of our stock. Finally, we are not obligating ourselves to revise our results or publicly release any updates to these forward-looking statements in light of new information or future events. Management uses EBITDA and adjusted EBITDA, which are non-GAAP financial measures. These are presented because they are important measures used by management to assess financial performance. Management believes they provide a more transparent view of the company's underlying operating performance and operating trends than GAAP measures alone. A reconciliation of net income to EBITDA and adjusted EBITDA is presented in the press release. The company defines EBITDA as net income or loss before net interest, tax expense, depreciation and amortization expenses. The company defines adjusted EBITDA as EBITDA before acquisition-related expenses, bargain purchase gain, net gain or loss on disposition or impairment and stock-based compensation expenses.  With that, it's my pleasure to turn to Peter Holt on Slide 3. Thank you very much.
Peter Holt: Thank you very much, Kirsten, and I welcome everybody to the call. During the fourth quarter, our retail-based chiropractic clinic concept demonstrated continued strength and resilience even as the pandemic evolves with Omicron variant. Throughout 2021, we successfully executed our long-standing strategy to grow by opening new clinics, both franchise and greenfield corporate owner managed clinics and retail setting. We ended the year with 706 clinics well positioned to achieve our goal of 1,000 clinics in operation by the end of 2023, creating the foundation for our continued future growth. Before I go in greater detail, I'd like to welcome our new investors and summarize our investment rationale.  The Joint is revolutionizing access to chiropractic care. Located in convenient retail setting, our clinics provide concierge-style membership-based services. Patients benefit from our attractive pricing convenient hours without the need of insurance or appointments. Our growth strategy is to build our brand, increased awareness of the efficacy of chiropractic care, deliver an exceptional patient experience and open more clinics. We're already the largest and most recognizable provider of chiropractic care in the country, and yet we only account for approximately 2% of this highly fragmented nearly $18 billion chiropractic market. As such, we have a significant opportunity to continue increasing our market share as we further refine and expand the market itself.  As we turn our attention to 2022, we're focusing efforts on 3 key areas. We call them our enterprise initiative. Each are critical to advancing our growth strategy. Our first initiative is forging the chiropractic dream by offering the best career path for chiropractic doctors. The second initiative is harnessing the power of our data by leveraging our new CRM platform. And finally, the third initiative is to accelerate the pace of our clinic growth through continuous improvement of our comprehensive franchise sales and clinic opening strategy. I'll go in more detail on the 2022 enterprise initiatives in a moment.  Turning to Slide 4. I'll review our record-breaking operating performance metrics in 2021. The total number of adjustments performed during the year reached $10.9 million, up from $8.3 million in 2020 and $7.7 million in 2019. The total number of unique patients treated reached 1.4 million, up from 1.1 million in 2020 and 998,000 in 2019. 807,000 new patients visited The Joint, up from 584,000 and 585,000 patients in 2020 and 2019, respectively. 85% of the system gross sales came from our monthly memberships the same as 2020 and up from 80% in 2019.  We opened 110 new franchise clinics, up from 70 and 71 in 2020 and 2019, respectively. We significantly increased our corporate greenfield clinics to up to 20, up from 3 and 5 in 2020 and 2019, respectively. And we sold 156 franchise licenses, up from 121 in 2020 and 126 in 2019. This high-level performance even in the middle of the pandemic validates our business model and indicates a very positive long-term outlook. Turning to Slide 5. I'll review our 2021 financial highlights. Later, Jake will discuss our results in detail. For 2021 compared to 2020, system-wide sales grew to $361.1 million, increasing 39%. Our comp sales for clinics that have been opened for at least 13 full months, grew to 29%. Revenue growth rose to 38%. Adjusted EBITDA increased to $13.3 million, up 46% compared to 2020 record of $9.1 million. And on December 31, 2021, our unrestricted cash was $19.5 million compared to $20.6 million in December 31, 2020.  Turning to Slide 6. Let's review our portfolio. Regarding clinic expansion, during Q4 2021, we opened 43 clinics, 34 franchise and 9 greenfields, up from the total of 21 clinics opened in Q4 2020. Our fourth quarter and full year 2021, we closed 3 clinics. This compares to 2 closed in Q4 2020 and 7 for the full year 2020. We continue to have exceptionally low closure rate of less than 1% annually. During 2021, the total number of new clinics opened reached 130, consisting of 110 franchise and 20 greenfield clinics, up from 70 clinics and 3 greenfield clinics opened in 2020. In 2021, we acquired 12 previously franchised clinics, up from 1 acquired in 2020.  Our expansion focuses on strategically opening greenfield in new markets and enlarging our presence in existing corporate clinic clusters and finally purchasing previously franchise clinics that will be accretive to our P&L. During 2021, we established corporate clinic foothold in the Southeast region. Throughout the year, we extended our reach across our corporate portfolio in Virginia, Southern California, New Mexico and Arizona.  As we've repeatedly stated, corporate clinics contributed 100% of their top and bottom line, therefore, when greenfield mature that they can have a greater economic benefit compared to franchise clinic for the consolidated company financials. However, we expect greenfields to compress margins when they first opened. In the fourth quarter 2021, we opened 9 of the 20 greenfields in 2021. As such, the effect of the new corporate clinic margin pressure was greater in the fourth quarter. In summary, on December 31, 2021, we had 706 clinics in operation, consisting of 610 franchise clinics and 96 company-owned or managed clinics. Compared to September 30, our portfolio mix shifted approximately 2 percentage points to 14% corporate clinics and 86% franchise clinic. At the quarter end, we had 283 franchise licenses in active development. This figure demonstrates a strong pipeline for franchise clinic openings and compares to 295 at September 30, 2021, and 253 at December 31, 2020. This reflects both the accelerated number of franchise openings as well as ongoing increased interest in the franchise system.  Turning to Slide 7. In Q4 2021, we sold 24 franchise licenses compared to 56 in Q4 2020, with the 2020 number reflecting excess pent-up demand after the COVID disruption. Our total 2021 franchise license sales reached 156 increasing from 121 franchise license sales in 2020 and 126 in 2019. Our franchise concept continues to attract sophisticated, well-capitalized franchisees, and we're experiencing increasing interest in our multiunit licenses. During 2021, 56% of the franchise licenses were to existing owners reinvesting in the brand, which is a very strong validation of the business. In fact, since 2018, the trend has been the existing franchisees by more than half the new licenses in the year.  Also of note, 81% of our franchise licenses were sold by our regional developers during 2021. The RDs performance remains strong as they continue to accelerate our growth. At December 31, 2021, our 21 RDs supported 71% of our clinics and their territories covered 59% of the metropolitan statistical areas, or MSAs. Our aggregate 10-year minimum development schedule for the new RD territories established since 2017 is 713 clinics. Keep in mind that a proportion of these clinic count is already open, but the remaining unopened clinics still provide a large foundation to fuel our continued clinic expansion and sales growth. Turning to Slide 8. Let's review our marketing efforts. In Q4, we launched our annual holiday promotions, our Back Friday package sale and our year-end membership promotion. Significantly, both promotions beat prior year performance with Back Friday growing 27% and End-of-Year growing 42%. This demonstrates the continued growth potential of our limited time promotions as well as the engagement of our clinic teams and the success of our marketing best practices.  On December 1, we launched our new national brand campaign targeting millennial consumers with a message targeting the power of chiropractic care and living their best lives as well as The Joint's convenient and affordable offering. As a part of the campaign, we produced 2 new TV spots, updated our print ads and promotional materials, all featuring our new brand tagline, Don’t Do Pain. Do You. The work will be featured throughout 2022, reaching new prospects to our national streaming platforms, regional television buyers and other media channels. Speaking of new prospects. In 2021, we increased investment in awareness driving market tactics funded by our growing national marketing fund as well as our regional marketing cohorts. Tactics like these help build our brands reach and name recognition with the greater public. This activity continues to record breaking new patient growth and boosted the proportion of our patients who are new to chiropractic. In our most recent annual independently conducted patient survey, we found that 36% of patients who visited in our clinics in 2021 had no previous experience with chiropractic care. In 2013, the first year of this survey, that number was just 16%. In 2020, it was 27%. This demonstrates our growing ability to attract a larger population of consumers who are initially unaware of the benefit of chiropractic care, which is fulfilling our vision of educating the consumer about the power and efficacy of chiropractic. Turning to Slide 9. I'd like to review our initiatives to improve our technology infrastructure. As you may know, last July, we achieved our milestone of launching our new IT platform, which we call AXIS. Because our patients can visit any clinic in our network to receive their chiropractic care after extensive testing, we were required to switch the entire system from our original platform to the AXIS platform overnight instead of a time to regional rollout. It was quite an undertaking. Of course, migrating from our homegrown legacy system to a licensed scalable platform caused a few bumps, but we were pleased to accomplish this without major disruptions. And again, I want to thank our franchisees and our clinic users for their patients throughout this process. It's important to remember that this launch is only the first iteration of AXIS, primarily a lift and shift in functionality with updated accounting and reporting systems and greatly improved security. Our 2022/'23 road map has us layering in additional innovations that will unlock greater value. These initiatives include improvements in our user experience, enhanced promotional capabilities, advanced analytics, marketing automation, a native mobile app and elevated risk control measures.  I'm also excited to welcome our newest member of our leadership team, Chief Technology Officer, Charles Nelles who will help lead this mission. Charles has more than 20 years of experience in health care and financial service industries. He and his team will spearhead our technology development, leverage our new IT platform to sustain our position as a trailblazer and utilize our data to improve business performance. We look forward to his contribution as The Joint pursues new growth opportunities to bring routine and convenient and affordable chiropractic care across the nation. With that, Jake, I'll turn it over to you.
Jake Singleton: Thank you, Peter, and we'll turn to Slide 10. Please remember, while the second quarter of 2020 was impacted by the pandemic, our swift actions enabled The Joint to rebound in the third and fourth quarters of 2020. As a result, full year 2020 delivered strong financial performance in spite of COVID-19. The momentum we gained in 2020 continue to accelerate in 2021, delivering our strongest financial performance for any year-to-date. First, I'll review preliminary Q4 2021 compared to Q4 2020. System-wide sales for all clinics opened for any amount of time increased to $102.1 million, up 32%. System-wide comp sales for all clinics opened 13 months or more were 22%. System-wide comp sales for mature clinics opened 48 months or more were 15%. Revenue was $22.4 million, up $5.4 million or 32%. Company-owned or managed clinic revenue increased 33%, contributing $12.2 million. Franchise operations increased 30%, contributing $10.2 million. Cost of revenues was $2.4 million, up 24% over the same period last year, reflecting the increase in franchise clinics, the associated higher regional developer royalties and commissions and higher website hosting costs related to the new IT platform. Selling and marketing expenses were $2.9 million, up 38% over the same period last year. This reflects the grand opening marketing expenses for 9 new greenfields, the larger number of franchised and company-owned or managed clinics and the timing of the national marketing fund spend as well as the new brand campaign. Depreciation and amortization expenses increased for the fourth quarter of 2021 as compared to the prior year period, primarily due to the amortization of development rights we acquired in December 2020 and January 2021. The amortization of intangibles related to the 2021 clinic acquisition and depreciation expenses associated with our new IT platform and with our greenfield development.  G&A expenses were $14.6 million compared to $9.5 million, up 53%. The increase was primarily driven by an increase in company-owned or managed clinic expenses and increase in payroll required to remain competitive in the tight labor market and professional fees and IT expenses to support continued clinic count and revenue growth. We opened 9 greenfields during the fourth quarter and anticipate an increased pace of greenfield openings.  As such, we expect the G&A as a percentage of revenue to increase over the next several quarters. Operating income was $663,000, which reflects the compressed margins from accelerated greenfield development and the aforementioned depreciation and amortization from reacquired development rights and clinic acquisitions. This compares to $2.8 million in 2020. Income tax expense was $424,000 compared to an income tax benefit of $7.9 million in Q4 2020, which included the reversal of a tax valuation allowance of $8.9 million. Net income was $224,000 or $0.01 per diluted share compared to $10.6 million or $0.72 per diluted share in Q4 2020. Adjusted EBITDA was $2.7 million, decreasing 26% compared to the same period last year. Franchise clinic adjusted EBITDA increased 29% to $4.9 million. Company-owned or managed clinic adjusted EBITDA decreased 21% to $2 million, reflecting the increase in payroll required to remain competitive in the tight labor market, compounded by margin compression with 45% of our new greenfields for the year opening in Q4. Corporate expenses as a component of adjusted EBITDA loss increased to $4.1 million compared to $2.6 million in Q4 2020 and $3.8 million in Q3 2021.  On Slide 11 for a review of the preliminary financial results for the year ended December 31, 2021, compared to the same period in 2020. Revenue was $81.2 million, up 38% compared to $58.7 million. Operating income was $6 million, up 9% compared to $5.5 million, reflecting the increase in labor costs and expenses related to opening new corporate clinics. Net income was $7.2 million, down from $13.2 million in 2020, which included the tax benefit of $7.8 million. And adjusted EBITDA was $13.3 million, up 46% compared to $9.1 million in 2020. On to our balance sheet and cash flow review. At December 31, 2021, our unrestricted cash was $19.5 million compared to $20.6 million at December 31, 2020. During 2021, cash flow activities included $15.2 million provided by operating activities, which was offset by $14.1 million of investing activities, consisting of acquisitions, greenfield developments and IT capital expenditures as well as $2 million of net cash used in financing activities primarily driven by the repayment of the Paycheck Protection Program loan in March of 2021.  During the annual audit management, along with our audit team determined that our internal controls over financial reporting were not effective as of December 31, 2021, due to a material weakness. We have undertaken remediation measures to address the material weakness, which we expect will be completed prior to the end of fiscal year 2022. We expect our auditors to express an adverse opinion on the company's internal controls, about which we will provide details in our upcome 10-K filing for the period ended December 31, 2021. On to Slide 12, for a review of our guidance for 2022. In 2021, The Joint like so many retail concepts experienced rising labor costs, which will necessitate a price increase to maintain our status quo. However, one of our core tenets is affordability. Therefore, we plan to implement a modest price increase. Effective March 1, 2022, every clinic in our system will raise the price of an individual visit, which will be reflected in price increases on our memberships and packages. Our new patient special will remain unchanged at $29. While this is the first national price increase The Joint has undertaken since 2016, we did implement several market price adjustments in certain markets in 2018 and 2019. As existing patient subscriptions will be grandfathered at our current price, the impact to our revenue will be gradual and incremental with the addition of new patients and we do not expect significant incremental lift for approximately 6 to 9 months.  Our 2022 guidance is based on our strong performance and market position. We expect revenue to be between $102 million and $106 million, up from $81.2 million in 2021, with the midpoint equal to a 28% increase over the prior year. We expect adjusted EBITDA to be between $15 million and $17 million compared to $13.3 million with the 2022 midpoint equal to a 20% increase from our 2021 adjusted EBITDA. Once again, the increased number of greenfields will increase margin compression until those clinics mature. We expect franchise clinic openings to be between 110 and 130, up from 110 in 2021. We expect to increase our company-owned or managed clinics by between 30 and 40 through a combination of greenfield openings and franchise clinic purchases, up from 32% in 2021. And with that, I will now turn the call back over to you, Peter.
Peter Holt: Thanks, Jake. During 2021, The Joint demonstrated remarkable resilience to the pandemic pressures. While managing this, we still delivered record openings, new patients, revenue and adjusted EBITDA. As the chiropractic market expands, we continue to fuel our growth as illustrated by our growing number of patients, franchisees, clinics and franchise license sales. While as a nation, we focus so much time and energy on the COVID-19 pandemic, frankly, there are other more -- other serious epidemics that we're also facing, such as pain, obesity and diabetes. Increasingly, younger generations seek more holistic way to treat these elements and frequently choose chiropractic care as the first line of defense. The average age of our patient continues to trend younger. In 2021, 61% of our patients who visited that year were millennial or Gen Z, with Gen Z being the biggest gainer. This is up from 58% in 2020 and 55% in 2019. As I stated earlier, we've entered into 2022 with a focus on 3 enterprise initiatives, key to advancing our brand growth. Our first initiative is to forge the chiropractic dream. Like most employers, we are navigating a challenging labor market that some are calling the great resignation.  By leveraging our considerable advantages as market leader, we are creating a must-have employment experience by building a modern, relevant employer brand and a connected community of doctors of chiropractic. We offer unrivaled career path that can provide financial success and would provide choice and opportunities that fit the needs of DCs and their interest, with exceptional professional development as well as high-volume hands-on experience. Our second initiative is to harness the power of our data. As discussed over the past several years, we've allocated considerable resources to technology, now we have the fortified -- we fortified our foundation with improved accounting, reporting and security and we're turning our attention towards the utilization of accumulated data to transform the patient experience, drive business innovation and optimization and sustain our revenue growth. We're excited to build upon our new CRM platform in 2022 and beyond. And we look forward to updating you on the progress. Our third initiative is to accelerate the pace of clinic growth. We're implementing new clinical strategies through the real estate optimization and strengthening of our development team. We're utilizing innovation to shorten our development time line, enabling us to open clinics faster, reduce costs and provide quality direction for our franchisees. In our expansion, we're evaluating additional location profiles that can maintain our brand in an affordable and accessible chiropractic care. For example, we're looking at opening clinics in highly urbanized markets and in micro market, where the franchisee is typically owned by the doctor of chiropractic and on military basis, leveraging our agreement to serve the Army and Air Force Exchange Service.  Last fall, we've already opened 2 clinics on bases and are excited about the opportunity to open up more bases going forward. In addition, we're working closely with our high-performing franchisees who are looking to further leverage their development.  Increasingly, franchisees are doubling down and adding a second clinic within their existing trade area, some even only a mile away. These sales operators are repeatedly proven that by increasing clinic density and lowering patient wait time, they can uphold The Joint's tentative accessibility and drive sales growth in both the new and their existing clinic. We're on pace to open up 1,000 clinics by the end of 2022. As previously discussed, we see a near-term goal as a stepping stone for further development, both domestically and at the appropriate time internationally. This year, as part of our analysis, we reanalyzed the patient demographic and psychographic profile comparing them to all MSAs across the U.S. As a result, we've broadened our derived potential clinic count now to a minimum of 1,940 clinics. Yet we realize this is based upon actual chiropractic usage as of today. With 36% of our new patients also new to chiropractic care, this leaves much room for additional expansion. As only 50% of the U.S. population knows what chiropractic care is, we have significant opportunities to grow our business as we educate more consumers about the efficacy of chiropractic care. I'm confident in our ability to drive long-term growth and stakeholder value.  With that, Lori, I'm ready to begin the Q&A.
Operator: [Operator Instructions]. Our first question comes from the line of Linda Bolton-Weiser of D.A. Davidson.
Linda Bolton-Weiser: So maybe you can comment just with this accelerated pace of greenfield openings, how are they performing? Are they ramping and performing in the early stages as they would be historically? Or are they better or worse than historical opening?
Jake Singleton: Yes, Linda, great question. As I look at cohort ramps comparing the last several years, really from 2017 all the way through 2021, we've seen each of those annual cohorts continue to ramp quicker, and 2021 was no exception. So that just continues to give us the further confidence in accelerating our greenfield development because we're still seeing successful ramps.
Linda Bolton-Weiser: Okay. And then can you just remind us where in the income statement do we see the biggest impact of the higher costs related to the greenfield? Is it in selling and marketing or G&A or both? Or where does it show up more?
Jake Singleton: Sure. The majority of our clinic expenses were going to come through the G&A line. You will see some additional flow through in sales and marketing, specifically when we have those greenfield openings because we have a large chunk of grand opening marketing expenses that are kind of front loaded with that process. So in quarters where we have a large number of greenfield openings like we did in the fourth quarter this year, you'll see that line tick up a little bit. But the majority of those clinic level costs, some of our payroll, clinic level expenses, mostly come through G&A for us.
Linda Bolton-Weiser: Okay. And then with that point, I guess I'm curious in -- I mean, on the one hand, you have those expenses, but on the other hand, you can leverage some of those expenses as your revenue and your top line grows bigger. So in 2022, do you think you can offset the higher G&A expense from openings with leverage such that the ratio actually goes down a bit? Or do you expect that G&A ratio to actually go up?
Jake Singleton: I think given the not only the significant pace of development we're projecting for 2022, but with the 2021 development being a little bit back-end weighted, I think you're going to see that suppression come through and not necessarily have as much leverage opportunity in the early part of 2022, right? When we talk about the maturity curve, you're reaching that breakeven point at that 6 months or less mark. So when you have so many back-end weighted greenfields in 2021 and an accelerated pace in 2022, it's going to be hard to get that full leverage cycle in that short-term period. But like I said, the ramps are still great. It's still a great use of capital. You just kind of have the short-term suppression that you have to work through.
Linda Bolton-Weiser: Okay. And then when you talk about the expectation for 30 to 40 corporate additions in 2022, I mean, obviously, you can't really anticipate the acquisition opportunities. So is it kind of like if there's no acquisitions, it will be 30 or you actually are seeing that there's more than 30 that can actually be greenfielded?
Jake Singleton: Yes, I think you had it right. It's just hard to forecast the number of acquisition opportunities. They'll still be an opportunistic piece of our strategy. We have a robust enough pipeline in terms of greenfield development that if we were to accelerate that or slow that we have the ability to control that with so much time left here in the 2022 period. But just not having a great way to project those opportunistic acquisitions we give ourselves some travel there.
Linda Bolton-Weiser: Okay. And today, on Planet Fitness' call, I know they're different business, but they have franchisees that are opening doors. They talked about the pandemic like maybe slowing things down a little, like it just takes longer to get certain approvals as they -- in order to open up a new gym. Are you experiencing that as well that things are just taking longer for your franchisees or not?
Peter Holt: I would say, yes. I think that it's always a matter of scale in that. And so if you look at the Planet Fitness build-out versus our 1,200 square foot with a false wall and a couple of adjustment tables, that it's a smaller and easier build-out, as you can imagine compared to what they're doing. But we also all have to go to that same municipality to get the permit. And so we have to deal with our landlords who, I think, in this inflationary period are responding slower to the kind of the whole lease negotiation process. So while we didn't call it out, I think that as we look at 2022 and think about the impact that could have those macro issues on our development. Yes, I think that we also will experience part of that, but just at a smaller scale because it's just such a simpler build-out.
Linda Bolton-Weiser: Okay. But I mean it doesn't sound like it really affected your expectation for how much you could grow in 2022. Is that fair to say?
Peter Holt: Well, I would say that we took into account some of these macro issues that we don't really control as we've said our guidance. And obviously, we set our guidance that we believe that we'll open more clinics in 2022 than we did in 2021. So I'm not saying that we didn't take it into account, but I do think that we are less impacted by it than some of these more complex build-outs that are out of concept.
Linda Bolton-Weiser: Okay. And then just on the price increase, can you remind us how much of your revenue is the subscriptions versus the individual visit? And then can you give a percentage price increase on average that you're expecting to make?
Jake Singleton: Sure. Yes. 85% of all of our gross sales comes from our subscription. So that is still the vast majority of our gross sales is coming through that offering. In a lot of the markets, we will be moving our price tiers up by $10. So where they were $59, $69, $79, you'll see a $69, $79, $89 mix across the country.
Operator: And our next question comes from the line of Jeremy Hamblin of Craig-Hallum Capital.
Jeremy Hamblin: Congratulations on a really strong year and quarter. I wanted to get into a little bit more of the details of the total EBITDA impact based on company-operated locations of 30 to 40 new units this year. I think based on your prior maturity curves and the expectation for an average loss of about $75,000 in year 1, can you give us a total estimate on opening 30 to 40 new stores -- new units this year, I guess, part of it is a carryover from the new openings at the end of last year as well. But if we looking at about maybe a $2 million drag on your FY '22 EBITDA?
Jake Singleton: Yes, I think you do have to factor in the carryover from 2021, just given the back-end weighting of those. So that has to be factored in there. We didn't split out the 30 to 40 in terms of how many are greenfields, but you have it right in terms of around a $75,000 kind of working capital loss that you have to work through in year 1 type period. Now again, those are going to be scaled depending on when they open. If you have a Q1 opening, it may reach breakeven and start to offset some of those the back end weighting. All you're going to feel is the strain of those until they get into that maturity curve. So hard to put a quantified number on it without some of those variables, but I think you've got the pieces correct.
Jeremy Hamblin: Okay. So it sounds like we're in the ballpark depending on acquisitions. Okay. And then I also wanted to have a quick hitter here on expectations around tax. I think you might have mentioned that I just missed it, we look at 27% tax rate.
Jake Singleton: Correct. Yes. The federal rate is 21%, a blended state rate in the 6-plus percent range for us across our footprint. So I think that's a pretty fair estimate. We will come out of this year with some NOLs still to utilize, and we'll see a lot of that kind of eaten up as we move through 2022.
Jeremy Hamblin: Great. And then in terms of kind of the COVID impact with this last surge, a lot of retail businesses had significant impact back half of December and throughout January and now started to see some recovery. What's -- can you give us a sense of what you saw in your traffic patterns whether or not you had any impact, kind of where the trends stand today versus maybe where they were at the beginning of December.
Peter Holt: Well, what I say, Jeremy, is that in terms of the impact it's had on us is probably suppressed a little bit of our accelerated growth. As I mentioned, our fourth quarter, the big 2 promotions we have, our Back Friday and our year-end promotion. The Back Friday, it was 27% higher than last year. The year-end promotion was 42% higher than compared to last year. So it suggests to you that we've had some pretty strong numbers.  I think it would have been stronger if we -- also there was -- I'm not saying there wasn't some impact due to the pandemic or whether it was the Omicron or the Delta before that. I think if I reflect really from the beginning of COVID to where we are to this point, is that when it comes to pandemic is that we remain incredibly resilient, that our patients see this experience is essential to their health care and that while they may be reluctant to do other things in the marketplace is that they are coming in to The Joint. And as we talked about in 2021, what did we see? We saw record-breaking new patient counts. So it's not just our existing patients, but we had 807,000 new patients come into The Joint for the very first time. Now to me, what was really the most exciting part of that is we just did our new survey, and last year, we were saying, okay, in 2020, our 27% of those new patients that came in were new to chiropractic. The most recent survey we just got back is 36%. So the model is working.  We're continuing to educate more and more consumers about the power and efficacy of chiropractic by putting it in those retail setting. And so I think that when I reflect on the impact of the pandemic or kind of as we go through in 2022, are we going to be impacted by some of the macro issues, whether -- as we're talking about with Linda in terms of the municipalities, we don't have their permitting people there or addressing inflation issues or who knows what's going to go on with Ukraine. Is that -- those macro issues are out there, and they certainly can have an impact on us. But I would say, as I think through the pandemic is that we've been pretty resilient.
Jeremy Hamblin: Okay. Great. Last one for me. So labor costs, can you give us a sense for the run rates that you're having to pay up for your administrative staff and your clinicians as well. What's the...
Jake Singleton: Yes. I think we're seeing it on -- sure. Yes. I think we're seeing it on both fronts, whether it be the doctor of chiropractic or wellness coordinators at the front desk. Those retail positions are becoming highly competitive as well. And then when you have any element of specialized labor, you have to remain competitive, and that was one of the driving factors. Tougher to quantify given the footprint across the country again. But as we look at it, which probably a roughly 10% increase potentially if we're going to do some sort of blended average in terms of either a base rate or a part-time rate for a chiropractor that's out there or increasing the hourly wage for the wellness coordinator position. So it's really both of our core roles. And quite honestly, it's also our corporate staff. I mean it's a phenomenon that's affecting us on a couple of different fronts.
Operator: And our next question comes from the line of George Kelly of ROTH Capital Partners.
George Kelly: So to start another greenfield question for you. And I was hoping that you could just walk us through an average opening. So if -- I don't know if you want to sort of specify it or quantify as much as you can, but what is the preopening marketing spend just on average? And then what is the amount kind of invested until you hit breakeven after X months, if you could give us that kind of time line, that would be helpful.
Jake Singleton: Sure. Yes. The preopening marketing, I would peg that around $15,000. Again, there's different tactics by market that we can capitalize on. But I think on a rounded number, you're probably looking at $15,000 per. Your cost structure for your clinic, I would say your breakeven point is -- again, it varies by market. My rent in Virginia is going to be different than my rent in California. But I think you're looking at an average of $25,000 to $28,000 a month as kind of a breakeven point. And so it's really how quickly can you ramp your revenues to get above that breakeven point, which for us, we would say is 6 months or less.
Peter Holt: And just to add to that, I think that our marketing department has increasingly created a more sophisticated and effective grand opening strategy, particularly taking into account the pandemic. I mean in the early part of the pandemic -- pre-pandemic, we had this idea that you're going to have this big blow at a moment for 3 days, do all these free adjustments and then kind of tail off from there. And what we recognize is that with the pandemic is that we don't want everybody jammed up in the clinic for 3 days. And so they've spread that out over a period of a month, and then they've added a whole series of new programs specifically on -- I think on the digital side, which we've seen increasingly improve the time to breakeven across the board. So I think we're getting better in our grand opening process and that we're seeing it more effective in our clinics.
George Kelly: Okay. Great. And then next question for me, a modeling question. It's something that's in your Q, I was wondering for your Ks, but curious if you could just share with us on the call that so the quarterly breakdown of G&A between unallocated corporate and everything else, do you have that?
Jake Singleton: George, I don't have it in front of me at the moment.
George Kelly: Okay. Okay. Fair enough. And then last question for me is just back to pricing. What happened last -- when was the last time you took a broad based just an across-the-board price like you're doing now? And what happened? Is there really any impact or -- I mean, I guess, what gives you confidence with what you've seen in the past and with the pricing gap with some of your competitors? Like how are you thinking about volume changes or anything else as we approach this pricing increase?
Jake Singleton: Yes, it's a great question. The last wholesale price increase we did was back in 2016. And then in really the 2019-ish time frame, we did market adjustments just moving certain markets up a tier. But 2016 was the last time we did an across-the-board increase similar to the one that we'll be launching on March 1. What typically happens is in each of those scenarios, we always grandfather in the existing rates.  So if you're an existing member, that will be your pricing on a go-forward basis until such time that you cancel. So we always offer that. The phenomenon that results and is really there's kind of a rush to the window before that price increase for people to kind of lock in the rates to get a slight forward buy and then you get some nice kind of retention benefit as people kind of hang on to that pricing a little bit longer. But really, what that does is kind of delay some of the new sign-ups under that higher rate. When we looked at those factors and we monitor a lot of KPIs, as we look at new patient interest, as we look at conversions onto our subscription model or retention. So far, we've seen very favorable metrics any time that we've gone through that. So it's something that we always do very carefully. As we mentioned in the script a few different times, affordability is a core tenet of what we do and will always be. So we have to be very mindful anytime that we touch price. But in a time frame where you're facing some of the labor pressures that we are, we felt we needed to make that adjustment to remain competitive.
Operator: And our next question comes from the line of Jeffrey Van Sinderen of B. Riley.
Jeffrey Van Sinderen: Just wondered if we could circle back to the model and some of your assumptions. Any further insight that you could give us around kind of how you're thinking about the quarterly progression or annual assumptions that you're baking in for gross margin, selling, marketing, G&A, just kind of considering the new greenfield buybacks and kind of planned amidst a number -- a larger number of franchise clinics you're expecting to open? And I guess if there's anything you can give us in terms of first half or second half weighting of any of those elements?
Jake Singleton: Yes, lots of variables there, Jeff, to work through. The one more predictable element that we can usually count on within our model is the top line performance, right? We've been fortunate to have continued organic growth, so strong comps, and then we expect accelerated unit opening. So on the top line, I would project a gradual incremental build throughout the quarters. Cost of revenue for us is largely tied to that. So a fairly predictable line. You get down to sales and marketing, and that is largely -- such a large driver of that is dependent on the timing of our national marketing fund spend. So I always go to my Chief Marketing Officer and ask that he spent that perfectly ratably throughout the year. It's just harder to do that. So typically, you see a little bit of back-end weighting to that national marketing fund spend. And then as we mentioned, some of that will be contingent on clinic-level activities, when do we have those preopening marketing, those grand opening marketing expenses. As it stands right now, I don't project too much variability between our greenfield openings. But as we saw, went into 2021 with that same assumption, and we ended up a little bit more back-end weighted than I would like. So still working through some of that. But the G&A fluctuations are largely tied to the clinics as they build. So it's probably the best I can do on a broad brush.
Jeffrey Van Sinderen: Okay. Understood. And then just if we can touch on the new software system, I guess, plans and timing to layer on some of the newer applications you're developing or working on this year. When you expect some of those applications to begin to, I guess, to hit and then to begin to have an impact on the business, especially interested in when you can start to mine and leverage patient data.
Peter Holt: Sure. And I think it's a great question, Jeff. And obviously, one we're really focused on, and it really is incremental for us and that we are just so excited to have our new CTO, Charles Nelles, who is really helping us to refine that road map. And so we really see this as a progression. And so we still have some cleanup issues, quite frankly, in terms of just making our existing system more user-friendly for the end users that we definitely see doing that patient portal and mobile check-in, that probably will be a little bit later, that won't be early in this year, that we're working on the creation of a data warehouse. It really does start unleashing the power of that data, but that's going to take time to develop. So I'm not sitting here and say, oh, my gosh, okay, we got through the lift and shift and then you see this huge impact starting in Q1 2022. But what I'm expecting is that over time, we'll continually refine and improve and add more and more power to that as we build out that road map. So it doesn't give you a lot of detail around it, but I think we have very specific projects that we're working on. And as they develop and roll out, we certainly would be sharing them with you and the Street.
Operator: [Operator Instructions]. And we have a question from Anthony Vendetti of Maxim Group.
Anthony Vendetti: Two questions. One on the AXIS IT platform and then one on the material weakness. And so maybe we'll start with the material weakness. So you announced preliminary results. Is the reason for that because of the material weakness, the auditors have to finish up. And I guess when do you expect to have audited numbers? And then what exactly do you need to do to satisfy the auditor's concern? It sounds like it's financial controls, right?
Jake Singleton: Yes. It's our internal controls. And it's a fair question, Anthony. And you're right, we are still working through the final elements of our audit with our outside auditors. If you remember, we changed auditors in Q1 of 2021. So this is the first year that we're working through their full financial audit as well as our first year of 404(b) SOX compliance and subject to audit of our internal controls with them. So any time you go through an audit the first time through, you're going to go through that. Not to mention it's our first time as an accelerated filer with some of these accelerated deadlines. So we're going to come down to it. We have -- our filing deadline is March 1. So we'll continue to work with our auditors up and through that deadline to get that audited financials out there and file.
Anthony Vendetti: Okay. Great. And then on the AXIS IT platform, how -- as that has rolled out, how has the reception been among the clinics, the franchisees. And any feedback, any tweaks to it. I was just curious what you've heard so far.
Peter Holt: Sure, Anthony. Absolutely, listen in a franchise system, you are never short of feedback. So we have a very active and robust franchise community, and they share all of their concerns with us and the positive things that are going on as well. And so I think like in any time that you are taking an existing system and asking everybody overnight to go to the new system, of course, there's going to be disruptions and you're almost learning the new language. And then you do all of this testing upfront and making sure you're minimizing any of the things that you're going to have to face as you roll this out.  But as you know, you can't really get into it until you have thousands of users using these millions of patient records to ensure where all these little bugs are get those cleaned up. And so I would love to tell you that we rolled it out, the franchisees just said that was the best thing they've ever seen in their life and everybody is happy. But I'd say it's a little more complex with that and that there are some changes in the new system that give quite frankly a little less flexibility on that line level that we're working through with our franchise community. But overall, what's been really important is that to make that significant change from just flipping overnight from our existing platform to the new platform, the fact that it went through and with such little disruption, I just could not tell you how excited and relieved am I that we were able to accomplish that. And now we're really excited to really start unleashing that power. And that was really one of the reasons that we upgraded that position. We have our new CTO. I think that he's been here for less than a month, but just watching and working with them. He's continuing to reach out to our franchise community to really get a real understanding of what we need to do and the order need to do it so that we can continue to meet the needs of the system. So we're really excited about it. If at any time you go through this level of the transition, it's got its issues, but I've never had to deal with fewer issues in an environment like this, at least in my career. So I'm pleased with the work that was done to make this conversion.
Operator: Thank you. And there are no further questions at this time. I will now turn the call over back to Peter Holt, CEO, for his closing remarks.
Peter Holt: Thank you, Lori, and thank you all for your time today. Our mission is improving quality of life to retain an affordable chiropractic care and I'm proud of the inclusion and cooperative culture we foster with all The Joint teams, our corporate staff, our RDs, our franchisees, our doctors, our wellness coordinators who time and again, deliver their best work to help our patients live their best life. We were recently honored in the Entrepreneur Magazine, Franchise Times and Franchise Business Review, all recognizing The Joint for our outstanding performance in growth, financial strength, stability and brand power. We look forward to seeing you at the D.A. Davidson Consumer Growth Conference and the Annual ROTH Conference both in March.  I'd like to close with the doctor franchisee story. One of our doctors started The Joint in 2018. First, he's a chiropractor and then is a clinic director before becoming a franchisee owner operator. And he stated, I became a franchisee because I understood The Joint chiropractic model is nothing like anything else in the industry, providing a simple and easy operating model for delivering chiropractic care. It allowed me to do what I love doing without the hassle of the insurance game. So thank you and stay well adjusted.
Operator: Thank you, and this concludes today's conference call. Thank you for participating. You may now disconnect.